Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Third Quarter 2013 Conference Call. [Operator Instructions] I'd now like to turn the conference over to our host, Mr. Alan Sheinwald. Please go ahead, sir.
Alan Sheinwald: Thank you, operator, and good afternoon, everyone. I'd like to thank everyone for joining us today for the Inuvo Third Quarter 2013 Shareholder Update Conference Call. Mr. Richard Howe, Chief Executive Officer; and Mr. Wally Ruiz, Chief Financial Officer of Inuvo, will be your presenters on the call today. Before we begin, I'm going to review the company's Safe Harbor statement. The statements in this conference call that are not descriptions of historical facts are forward-looking statements relating to future events and as such, all forward-looking statements are made pursuant to the Securities Litigation Reform Act of 1995. These forward-looking statements are subject to risks and uncertainties, and actual results may differ materially. When used in this call, the words anticipate, could, enable, estimate, intend, expect, believe, potential, will, should, project and similar expressions as they relate to Inuvo, Inc., are as such, a forward-looking statement. Investors are cautioned that all forward-looking statements involve risks and uncertainties, which may cause actual results to differ from those anticipated by Inuvo at this time. In addition, other risks are more fully described in Inuvo's public filings with the U.S. Securities and Exchange Commission, which can be reviewed at www.sec.gov. With that out of the way now, I'd like to congratulate management on another successful quarter, and introduce Mr. Richard Howe, CEO of Inuvo. Rich, the floor is yours.
Richard K. Howe: Thank you, Alan, and thanks, everyone, for joining us today. For the third quarter of 2013, we are pleased to report a net income of $640,000, or $0.03 a share on $14.5 million of revenue, and $1.5 million of adjusted EBITDA. As you all know, we made a number of operating changes that started at the beginning of the year, which had an impact on both the top and the bottom lines of the business starting in Q2. And as a result, Q2 really provides a good benchmark for comparison purposes. If we look at Q3 as compared to Q2, revenue was up 11%. Net income was up 68%. Adjusted EBITDA was up 72%. Debt was down 7%, and the operating expenses decreased by 6%. We believe operating expenses have now leveled out going forward. Revenues for the first 9 months of the year have totaled $43.6 million, up 17% over the previous year, and adjusted EBITDA was $3.7 million, up 146% from the previous 9 months of the following year. Net income through the first 9 months of 2013 was $730,000, up from a loss of $6.2 million to the first 9 months of 2012. Now, before we start I'd like to also point out that in Q3, we changed the segments we report and manage the business along. These 2 new segments are, respectively, the Partner Network and the Owned and Operated Network. Those are the 2 new segments we have. Now it's important to appreciate with respect to Inuvo's business is the reality that from a technical and management perspective, the services we provide to our network partners are really the same services that we consume within our Owned and Operated business. And said perhaps another way, we have website and application partners, and we have website and applications we own. The only difference is really whether or not we own the website or the application, and that's really why we went to this new segment reporting model. And we thought it would be the best thing for stockholders to be able to get a better appreciation and understand the business and understand how it better reflect the way we view and manage the business internally. With that said, the financials and information we share today will be presented along these 2 new segments and with that, let me now discuss each unit in more detail, starting with the Owned and Operated Network. We made significant progress in the third quarter within this part of our business, both with new website and application launches. And while on a comparative basis, this business is down from $19.4 million to $15.3 million over the first 9 months in 2013, this reduction was carefully managed with a goal to replace unprofitable revenue with profitable revenue. And the overall growth of Inuvo through this period reflects the success we've had in so doing. We had hoped to come out of Q3 with a technology foundation in this part of the business that we could use to deploy numerous desktops and mobile-enabled websites quickly. And with the launch of both the health and finance sites, I think we've demonstrated that we now have the means to scale the deployment side of this business and as a result, return to overall growth within this segment. The marketing side of the business still requires some automation and optimization now that we have an excess of 2 million unique visitors a month to our sites and roughly 3 million or so live users of our applications worldwide. I will talk more about the marketing side shortly. Now it may be interesting to note that what we're doing with the sites is really no different than what we do with the ALOT Appbar. In this product line, we use a technology foundation that allows us to deploy vertically targeted applications and related content. So for example, within the Appbar, we launched and/or modified over 15 applications this past quarter alone in interest categories like pets and decorating and weddings and many others. Now we have hundreds of these applications in circulations around the world, and we increase or decrease our exposure to any particular interest category based on the dynamics of our marketplace. Now whether it be an application or a website, it is this technology foundation that allows us to quickly adapt to verticals frequented by consumers and coveted by advertisers. It has also been our goal is within this side of the business to unify the website and application product lines under a single brand, the ALOT brand. We believe that in so doing, we can deliver a better overall value proposition to our consumers through this collection of products and content and services. I'm pleased to report that we've taken another big step in this direction by launching the new and improved alot.com website. This new site, for the first time, brings all of these owned products, content and services into one place. And we still have much work ahead here, but we've taken a solid first step with this launch. It may also be important to note that these sites and deployments of these sites are all mobile-enabled when launched. Meaning, the technology we built to deploy these websites creates a mobile version of the site alongside the desktop version. The importance of this is reflected in the traffic, where collectively across our new sites, we already have some 45% of all of our visitors entering through a mobile device. The technology we use in this part of our business is proprietary. As we look into Q4 for the websites, we see ourselves growing the existing sites through optimization of marketing campaign and the expansion of content. With the Appbar business, we continue to broaden our marketplace with applications that are powered by both Google and Yahoo! ads and we are focused on decreasing our cost to acquire new customers through better landing pages and an improved software installation process, the combination of which, when effective, can have a measurable impact. The Owned and Operated segment of the business represents an opportunity to develop a more direct relationship with the consumer through a network of websites and related applications. Like any direct-to-consumer business, it's critical to acquire customers economically. To maximize our marketing expenditures, we spend a great deal of time and effort analyzing marketing efforts to identify the best ways and channels to acquire consumers. The methods and platforms we use to manage these marketing programs were developed over many years and acquired through the Vertro acquisition in 2012. In Q4, we will begin to upgrade the system we use to manage the thousands of direct marketing campaigns we run at any given time. A key focus will be replacing manual tasks with automation, and as much as possible, encoding the human decisions we make with algorithms designed to maximize advertising spend. We believe the combination of an automated marketing and deployment environment for this side of our business is technically complex, and as a result, highly differentiated. We believe this initiative, which should be in place in early 2014, could have a measurable impact in the performance of this segment of the business. Let me now turn to the Partner segment of the business, which has experienced solid growth of 60% through the first 9 months of the year as compared to the same period in 2012. In the third quarter, we continue to expand the offerings we have for our partners, a strategy we believe will allow us to both diversify and scale the business. Diversity, we believe, can be achieved through product innovation designed to improve the manner in which our ads are consumed by partners and ultimately, responded to by consumers, both on the desktop and on mobile devices. We are referring to these product innovations as Ad Units. In Q3, we launched in beta a number of these ad units both for the desktop and for mobile devices, where we signed up numerous website and mobile application partners. To date, the results we have experienced are meeting our expectations. These new ad units offer partners an added level of intelligence over our traditional offerings on this side of the business. Not only do these ad units detect interest and display ads accordingly, they can also determine and categorize the content on a page and determine the device being used to access that page, thus adapting their form and content to meet the user's device and interest. The technology we use to develop and deploy these ad units is proprietary to Inuvo. We expect to continue to roll out new ad unit product innovations on a regular basis. These products will be designed to put a desktop and mobile web and for mobile applications. As we have mentioned on a number of occasions in the past, our goal here is to complement our existing desktop business with mobile offerings. And the early data results we've seen, combined with the pipeline of new products we plan to deploy, gives us some confidence our strategy here can drive continued growth into the future. In addition to new products, scaling this business further requires a more efficient on-boarding process for our partners. To this end, in parallel with the development and deployment of new ad units, we are developing a new user interface for ValidClick, one that provides our customers a better and more efficient experience. Much as was the case for the Owned and Operated business, we'd like to eliminate as much as possible the manual tasks that today cause a bottleneck to our growth, also providing our customers with more ways to engage with us. Mobile expansion remains an important component of the strategy we have for both segments of the business. As such, we continue to see our mobile traffic standing across this collective network we manage. We are also acutely sensitive to your needs for more information about our mobile expansion and the products and/or tactics we are deploying to win market share here, while also balancing our desire to not arm our competitors with important elements of our strategy. We should be in a better position competitively to disclose certain metrics and strategies to you in 2014 following their maturity. To this end, we have also renewed our contract with Yahoo! well ahead of its scheduled end date of April 23, 2014. I'd like to now turn the call over to Wally for a more detailed accounting of our Q3 results. Wally?
Wallace D. Ruiz: Thank you, Rich. Good afternoon, everyone. Thank you for joining us today to discuss the company's financial results for the third quarter of 2013. My comments will refer to this morning's press release and the 10-Q we filed this evening. Inuvo today reported net revenue of $14.5 million in the third quarter of 2013, a $1.4 million increase over the immediate prior quarter, and a $972,000 decrease from the third quarter of last year. For the first 9 months of 2013, we reported net revenue of $43.6 million, $6.4 million ahead of the same period last year. As Rich mentioned, beginning with the third quarter, we will report financial results under 2 segments: Partner Network and Owned and Operated Network. Both segments utilize a common proprietary platform. The Partner Network delivers advertisements to our partners' websites and applications. This segment, which represents 75% of the company's total revenue, reported net revenue of $10.8 million in the quarter, an increase of 67% over the same quarter last year. The increase in the third quarter over last year comes from the expansion of partners within the network and an improvement in revenue per click resulting from improvements in traffic quality. The Owned and Operated Network delivers advertisements to websites and applications that Inuvo designs, builds and markets under the ALOT brand. The Owned and Operated network reported $3.7 million of revenue in the current quarter, a 59% decrease from the same quarter last year. As you'll recall, at the beginning of the year, changes to the way application owners are allowed to market their products caused us to modify our strategy for the ALOT Appbar, resulting in lower revenue, which we partially offset within the segment with the launch of the ALOT.com websites. For the company as a whole, we have more than offset this lower Appbar revenue. Gross profit was $6.3 million in the third quarter of 2013 compared to $8.7 million last year. The lower gross profit this year is due to lower revenue in the Owned and Operated Network as I just described. In the Partner Network, gross profit as a percent of revenue in the third quarter was 26%, compared to 13% for the same quarter last year. The increase comes from the expansion of partners. The Owned and Operated Network gross profit as a percent of revenue was 95%, compared to 88% for the same quarter last year. The higher gross profit as a percent of revenue is primarily due to the discontinuance of underperforming marketing programs within that segment. Operating expense was $5.7 million in the third quarter; this is a $4.1 million decrease from the same quarter last year, and a $367,000 decrease from the immediate prior quarter. All 3 categories of operating expense: search costs; compensation expense; and selling, general and administration expense, decreased in the third quarter of this year compared to last year. Search costs are associated with the Owned and Operated Network, where we bid on keywords in order to drive traffic to our landing pages where a successful result is a click on an advertisement or a consumer downloading our product. Search costs decreased $2.9 million in the third quarter of 2013 from the same quarter in the prior year and decreased $53,000 from the immediate prior quarter. Compensation expense decreased $221,000 in the third quarter of 2013 from the same quarter last year and increased $42,000 of the immediate prior quarter. There are now 38 full time permanent employees at Inuvo as of the end of September, and that is compared to 45 employees a year ago. Selling, general and administration expense, or SG&A, expense decreased $1 million in the third quarter of 2013 compared to the same quarter in the prior year, and decreased $355,000 from the immediate prior quarter. The decrease in the current quarter SG&A expense is due primarily to lower facilities expense and lower depreciation and amortization expense associated with the closing of offices and data centers in New York and Florida in the first quarter of this year. We expect search cost to increase on a quarterly basis as we market and roll out Owned and Operated websites and applications. We expect compensation and SG&A expense to stabilize at current levels, with compensation expense rising in 2014 as additional personnel are employed to grow the business. Other net expense is primarily Interest expense, and was $98,000 in the third quarter of 2013. Last year, Other net expense was $202,000. This year's lower expense is due to a litigation settlement last year of $75,000 and to generally lower average loan balances this year. The company reported a $75,000 income tax benefit due to amortizing -- within the quarter, due to amortizing its deferred tax liability generated from intangible assets acquired in the March 2012 acquisition. Net income from discontinued operations was $50,000 in the third quarter of this year and was composed of a reversal of liabilities to web publishers and vendors from 2009 and earlier. This amount was partially offset by a foreign exchange loss. The company reported a net income of $640,000 or $0.03 per diluted share for the 3 months ended September 30, 2013. The net income from continuing operations was $590,000, or $0.03 per diluted share, for the 3 months ended September 30, 2013. In the third quarter of last year, we reported a net loss of $1.3 million, or $0.06 per share, loss. EBITDA, adjusted for stock option -- stock compensation expense, was approximately $1.5 million in the quarter that ended September 30 of this year, and that compares to an adjusted EBITDA of $1 million in the same quarter last year, a 50% improvement. Turning to the balance sheet, cash and cash equivalents totaled $3.6 million at September 30, 2013, compared to $3.4 million at the end of last year. Bank debt was approximately $6.4 million and that compares to $7.8 million at the end of last year. The company generates a positive cash flow and primarily uses the cash to reduce bank debt. Stockholders' equity at the end of September was $5.5 million, up from $4.2 million at the end of last year. With that, I'll turn it back to Rich for closing remarks.
Richard K. Howe: Thank you, Wally. As we review the operating progress we've made in the first 9 months, we think it's an important message that we expect profitability to continue in the business. And while Q3 profitability was improved over Q2, we're anticipating Q4 profitability will align more closely with the big numbers we had in Q2 for profitability. The difference here will be the result of development and marketing activity that is currently underway, and from which we expect to drive growth in future years, starting very early in 2014. We'd also like to point out that there has, at times, been some seasonality in the business within the month of December and that results from a reduction in marketing spend by advertisers associated with the various holidays leading in to the end of the year. And we really emphasize here that it happens at times, because it has not happened every single year. So in closing, I'd like to summarize. We delivered $640,000 of net income or $0.03 a share in Q3, and that was up from a loss of $1.3 million the prior year and up from $0.02 in the immediate prior quarter. Revenue, gross profit, cash flow, operating expenses, net income and debt were all improved, again, in the third quarter as compared to the second quarter. Through the first 9 months of 2013, revenue is up 17.5%; adjusted EBITDA is up 146%; net income was $730,000, which is up significantly from a $6.2 million loss in the prior-year period. Within our Owned and Operated segment, we launched a number of new desktop and mobile-ready websites. We deployed a number of new desktop applications, and we've now built the technology foundation that will allow us to deploy new sites very rapidly. We also launched a new website at alot.com that unites both the apps and the websites in one location. Within the Partner segment, we've launched new ad units. We're in the process of upgrading our partner on-boarding system, and we remain focused on complementing the desktop business with mobile products for our partners. And perhaps as a final note, we launched today a new version of the corporate website at Inuvo.com. We think this new site better reflects the current business. And with that, I'd like to now turn the call over to the operator for questions and answers.
Operator: [Operator Instructions] And our first question comes from the line of Matthew Paul with Sidoti & Company.
Matthew Paul - Sidoti & Company, LLC: In reference to the unprofitable ads that you've replaced in the Owned and Operated portfolio, can you just give me an idea or give us an idea of what metrics were driving unprofitability and how you look to, I guess, avoid that with applications moving forward?
Richard K. Howe: Sure, Matthew. Look, this was the application side of the business, and what happened effectively early on the year is there were policy changes that affected the entire marketplace. Many people in the marketplace didn't adjust to those policies quickly, and I think there's some evidence that those people are suffering the consequences of that. We took a different approach, and we set the changes. And we'll adapt and change and make adjustment. The impact of the adjustment is the economics of the download. You spend $1 and you get a certain amount of money back. You run lots of campaigns that do that. As it turns out, some of those campaigns were still producing a return, and some of those campaigns were not producing a return. So rather than keep those campaigns going at a loss, we decided, well, let's not do that. Let's just take the money that we were spending in one area of the business and put it in another area of the business where we know we had a more predictable and stable margin, and that happened to be on the partner side of the business. And since that business was going anyhow, shifting money and spending it over there was just the right decision for us, while we basically did all the things we needed to do to put ourselves in a position where we could grow that part of the business once again, and I think we're getting close to where that's the case right now.
Matthew Paul - Sidoti & Company, LLC: Okay. So that -- I think you touched on my second question was the gross margin decreases sequentially. Is that the, I guess, the unprofitable marketing from the ALOT Appbar that moving forward, you're moving away from or...
Richard K. Howe: That's right.
Matthew Paul - Sidoti & Company, LLC: Okay. Next question, I was wondering if you could give color on the 38 total people you're employing in Arkansas right now. I was wondering if you could touch upon how many people are brought down from New York and how many are new hires?
Wallace D. Ruiz: Yes, so Matthew, we have, as you mentioned, 38 employees at the end of September. Of those, 28 of them are resident in Arkansas. So we do have some employees -- actually, we have 2 employees in New York and we have 6 or 7 employees in Florida, and we've brought -- altogether, the employees that came to Arkansas from either New York or Florida were approximately 6 -- 6 or 7.
Matthew Paul - Sidoti & Company, LLC: Okay. So you've done a great deal hiring out of Arkansas schools? Am I following that correctly?
Richard K. Howe: It's not just the schools, Matthew. Schools are one area of recruitment for us, and I know you probably know this but maybe for others that don't, there's 3 universities that surround the city that we moved the company to. So there is a talent pool there at the university level. But the people that we require in the business, I would say, the majority are beyond -- a little ways beyond coming out of school. And the good news is that there's a -- and also a quite large technology pool within the city because there's a number of anchor employers like Acxiom, and Southwest Energy and Hewlett-Packard. And there's a whole bunch of them. So we really, quite frankly, drew from the existing talent that we knew was existing here in this marketplace. And we couldn't be happier about the caliber of the employees that we have recruited, retained and are now part of the Inuvo team.
Matthew Paul - Sidoti & Company, LLC: Great. And that is, to some extent, based on the minimum requirement set by the state, right? From a salary standpoint?
Richard K. Howe: Yes, we -- but I'll be clear. We don't use that minimum requirement to drive our decisions or what we offer people in terms of salaries. When we negotiated the deal with the state, Wally and I did a lot of math to make sure that the number we put forward was a number we could actually beat. And honestly, I don't think we ever look at it, really. We hire people. We hire them at a wage we think is commensurate with their experience and the marketplace. And as it turns out, we're ahead of where we needed to be with the state -- well ahead of where we needed to be with the state. So everything's working out fine on that front.
Operator: Our next question comes from the line of Paul Guertin [ph], shareholder.
Unknown Shareholder: Question has to do with the Partner side of the business. You said that you had 60% growth this time around. Is there any way like you can put a number on the companies that you work with in that segment, or not?
Richard K. Howe: We -- we're sort of, I hate to say purposely -- but we don't disclose the actual number. Like we don't disclose a lot of things we do on our business, mostly for competitive reasons. But look, suffice it to say that we do business on the Partner side with both websites and applications, and the number of web properties and applications is measured in the thousands and the many thousands. So it's a big number and has been -- it's been growing.
Unknown Shareholder: Okay. We talked before, I think, about analyst coverage for the company. How has that been going?
Richard K. Howe: Well, Matthew was just on. So thank you, Matthew, for picking up coverage at Sidoti. And we continue to try to encourage other research organizations who cover micro caps to try to pick us up. And with any luck, we'll be successful at adding some more here over the next little while.
Unknown Shareholder: Okay. Another question I have is in any way, maybe you can't answer this, I don't know, but are you working with PrivacyStar? And any conjunction, for example, any part of their business that Inuvo may be using or helping them with what Inuvo can provide? Or you know what I'm getting at.
Richard K. Howe: Yes, I do. So just for everybody's benefit, we share an office space with PrivacyStar. And PrivacyStar is in the mobile application development business. Clearly, Charles Morgan owns PrivacyStar, and Charles is on our board. So we know each other, obviously, very well. But I would categorize the things the company does together as immaterial at this point. That doesn't mean, by the way, that we don't collaborate on some things. Where it's appropriate, for example, if we're needing some advise on a mobile application that we're working on, we certainly do. And we'll continue to draw on the experience that PrivacyStar has in that area and leverage that, and vice versa for them. I mean, they have looked at us, for example, and have asked us what's the best way to monetize the apps that they're building and deploying with ads. And of course, we have the ability to do that. So we would treat them as a client when we do that. And that's really sort of how it works when and if we do anything, Paul.
Operator: Our next question comes from the line of Eric Martinuzzi with Lake Street Capital Markets.
Eric Martinuzzi - Lake Street Capital Markets, LLC, Research Division: Just curious to know -- it's been a while since I've been really immersed in the business model here. What is the mix between the search side and the display side as far as revenue goes?
Richard K. Howe: We don't disclose the separation between the 2, but search is still a big part of what we do and what we're good at. And I think when we -- in fact, I know, Eric, when we talk about our development of new and unique ad units, a lot of the time, what we're really doing is we're taking a search-based ad business model and adapting it to display, if you want to use display as an example. So think of it like new novel ways to leverage our search competency in a lot of different ways through sophisticated ad units.
Eric Martinuzzi - Lake Street Capital Markets, LLC, Research Division: Okay. And then the tremendous growth that you've seen on the partner side, who do you feel that your kind of taking share from as that business grows?
Richard K. Howe: That's a good question. Well, I guess everybody else in the marketplace is maybe the way to look at it, right? I mean, that's the answer. I mean, look, we've maintained and do maintain that we do everything we can to try to build our ad network out in a way that has the highest of quality standards. And we deploy technology to do that. We apply review processes to make sure that happens. And I think the result of that is we've got a good relationship with our media partners, and that affords us the opportunity to continue to grow.
Eric Martinuzzi - Lake Street Capital Markets, LLC, Research Division: Okay. Just on the -- congratulations on the Yahoo! renewal, by the way. I guess if there were anything materially different between this renewal and what you had previously, you had disclosed what that was. But I was just wondering, is there anything at the margin that was a little bit different? I'm not talking about revenue share here, but just maybe types of traffic, quality screens, anything different that shows how the relationship has changed since the last time this major contract was signed.
Richard K. Howe: I think the way -- the best way to describe the relationship we have with Yahoo! is it's been a really good collaboration. And if you've ever been a part of a good partnership, then that's how I would describe it. And what does that mean? It means that we have access to individuals that we've known on that side of business for quite some time. It's a trusting relationship, and as a result, there's often things that we do together that are new and exciting. And that's what that affords us, and we will continue to do that. And I think our new contract reflects the fact that we want to work hard to be a good provider for them, and they in turn recognize that we've been doing that for some time and want to continue to do that with us.
Eric Martinuzzi - Lake Street Capital Markets, LLC, Research Division: Okay. The new alot.com website. I was just wondering -- as I go through websites that are similar to yours, and by that I mean kind of a portal feel to them, I'm always curious to know how a site like that is going to differentiate itself in the market. I can see just from an initial search here, you've got some familiar tabs. There's a homepage. There's some local tab, health tab, finance tab. Is this kind of a rough draft? Is this a finish product for a couple of quarters while you see what works?
Richard K. Howe: No. We plan to continue to expand on what you're seeing there and really keep developing it out as an experience. And keep in mind, right, we don't just have websites with content. We have desktop applications. We'll soon be having mobile applications. And so we'll have a really good collection of products, services, content to offer a consumer. And maybe to address your question more directly, the fact that someone else is offering a similar experience does not negate the fact that it's a good idea. And in fact, one of the things that we're really good at is actually marketing. So there's no reason why I can't steal market share from others who have similar capabilities and/or offering simply because I'm a better marketer than they are.
Eric Martinuzzi - Lake Street Capital Markets, LLC, Research Division: And then just one last question for me, and it's also on the website. Historically, I think you would had a "enhanced by Google", or "search by Google" in that main search box on the alot.com page. Is there some reason why that's absent in this version?
Richard K. Howe: I didn't even know that, so I don't -- I can't answer it, Eric. I don't know. I doubt it. I mean, I'll go look at it. I don't know. I don't remember.
Operator: And our next question comes from the line of Mike Pusarahti [ph], a private investor. Seems like he's dropped off. Our next question comes from the line of John Gilliam with Point Clear Strategic Capital.
John Gilliam: Question is, you mentioned, I believe, that 45% of all the visitors entering ALOT sites are entering through mobile devices. Did I get that number right?
Richard K. Howe: That's right. It's a big number.
John Gilliam: It is, and it's pretty remarkable in light of I think where we were 1 year, 18 months ago. I think we had very little of that. It would be, I'm guessing, single digit if at all. And I was just curious if that was being driven by just the evolution of the space generally. I mean, we see that with Facebook and Amazon and others that are attracting consumers, more people using smartphones, et cetera. So you're going to see some growth in that. But that number seems so dramatic to me. I'm just wondering if we are -- if that's being driven by our own customer acquisition campaigns, or are we pursuing more mobile traffic through those types of channels?
Richard K. Howe: Yes, I think it's both. Yes, it's in part that, but not entirely that, John. I think it's 2 things. Yes, we do actually -- some of our marketing campaigns target specifically mobile traffic, for many of the reasons that we've stated over the last 9 months that we're interested in complementing with the mobile side of the business. But it's not the only reason. It's just what's going on with Internet traffic these days. I mean, the mobile side is going in financially, and people want to consume content on their phones. That's when they're doing it. They sit in their home in front of the television and they're looking at something related to health or finance on their phone.
John Gilliam: Yes, yes, exactly. Curious if the metrics that we're seeing, I know just generally, the cost going in on customer acquisition, the cost to get exposure to those mobile channels has generally been significantly less than the same -- pursuing the same search terms or whatever it is that you're marketing by on desktop browsers. Are we seeing that play out in our campaigns? And is it allowing us to, in some instances, get better numbers, get lower customer acquisition costs that would result in a necessarily lower lifetime value that we have to reach? Are we seeing that play out with our live sites?
Richard K. Howe: Yes, I believe we are, John. Again, I'm not the expert in our marketing campaigns. But I think the way that you categorized the spend being lower to acquire mobile traffic is in fact the case.
John Gilliam: Okay. Let's see, on -- did I get the figure right? Did you say that we had paid down year-to-date $1.4 million in bank debt for this year?
Wallace D. Ruiz: Yes, that's correct.
John Gilliam: Okay, very good. Do you think -- ballpark, where do you think we will end the year on that figure?
Wallace D. Ruiz: I think we'll be lower than the $6.4 million, somewhere around $6 million.
Operator: Our next question comes from the line of Paul Guertin [ph] with shareholder.
Unknown Shareholder: Rich, I forgot to ask one question. As the company continues to grow, do you have any thoughts or plans maybe in the future for an acquisition of any kind? Have you ever -- do you ever discuss that kind of stuff?
Richard K. Howe: We do, John, quite frankly on a regular basis. It's part of, clearly, a discussion related to what is the best way to grow, add more cash, add more profit and frankly, get into a market we may not be in. Now the hindrance to that in the past, and frankly even right now, has been the stock price, right? So we just didn't think it would be a good idea to dilute our shareholders at the current valuation levels. But that doesn't mean we're not always hunting around trying to find something that looks good and trying to find something that's attractive and frankly, waiting while the equity in our company continues to build as a result of our performance. And I think when it gets to the point where our stock price reflects more of the value we believe is in the company, then we'll be in a better position to be able to execute on that when and if the opportunity arises.
Unknown Shareholder: Well, this is sort of a tough question to throw out, but I ask anyway. As far as stock price goes and what, in your mind, would be a fair stock price for you to start considering something like that?
Richard K. Howe: Yes, I think you know what, I'm likely not to answer that question. I think a fair stock price for us is a valuation -- a set of valuation multiples that more closely tracks our peer group, I guess, would be the best way to say it. So those who can do that math can go and compare us to others, particularly given that we were profitable, and come to whatever conclusion you think is reasonable.
Operator: Our next question comes from the line of Mike Balkin with William Blair.
Michael Balkin - William Blair Investment Management: I wanted to ask you a question about how we should think about the growth rate of the company going forward. You've done a great job of cutting costs and consolidating the business units down in Arkansas. And you've also done a good job of focusing on profitability rather than just growing the top line, and that's obvious by how you've cut back on the ALOT spending. So where should we think about what the new baseline is in terms of from a revenue standpoint? And then what kind of growth should we expect off of that baseline?
Wallace D. Ruiz: So Mike, we've been able to -- one of the things that we've been talking about is that the -- even though the Owned and Operated segment has been less than last year's, we expect that segment to grow the fastest. That's not to say that the Partner Network won't grow. We expect it also to grow next year and into the future. But the biggest -- the fastest growth, we're expecting from the O&O, from the Owned and Operated Network. Though we haven't given any guidance into next year of what our growth rates are going to be, we do expect to grow. We do expect to remain profitable. And like I said, the fastest -- most of the growth should be coming from the Owned and Operated Network.
Operator: I'm showing no further questions in the queue. Please continue.
Richard K. Howe: All right. Well, thank you. So with that, I'd like to thank everyone who joined us on today's call. We appreciate your continued interest in Inuvo, and we look forward to reporting progress over the coming quarters. Thank you.
Operator: Ladies and gentlemen, that does conclude our conference for today. You may now disconnect.